Operator: Hello, and welcome to Exelon Corporation's Fourth Quarter Earnings Call. My name is Gigi, and I will be your event specialist today. All lines have been placed on mute to prevent any background noise. Please note that today's webcast is being recorded. During the presentation, we will have a question-and-answer session. If you would like to view the presentation in full-screen view, click the full screen button by hovering your computer mouse cursor over the PowerPoint screen. Press the escape key on your keyboard to return to your original view. Finally, should you need technical assistance, as a best practice, we suggest you first refresh your browser. If that does not resolve the issue, please click on the help option in the upper right-hand corner of your screen for online troubleshooting. It is now my pleasure to turn today's program over to Ryan Brown, Vice President of Investor Relations. The floor is yours. Great. Thank you, Gigi.
Ryan Brown: Morning, everybody. Thank you for joining us for our 2025 fourth quarter earnings call. Leading the call today are Calvin G. Butler, Exelon Corporation's President and Chief Executive Officer, and Jeanne M. Jones, Exelon Corporation's Chief Financial Officer. Other members of Exelon Corporation's senior management team are also with us today, and they will be available to answer your questions following our prepared remarks. Today's presentation, along with our earnings release and other financial information, can be found in the Investor Relations section of Exelon Corporation's website. I would also like to remind you that today's presentation and the associated earnings release materials contain forward-looking statements, which are subject to risks and uncertainties. You can find the cautionary statements on these risks on slide two of today's presentation or in our SEC filings. In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. Reconciliations between these measures and the nearest equivalent GAAP measures can be found in the appendix of our presentation and in our earnings release. With that, it is now my pleasure to turn the call over to Calvin G. Butler, Exelon Corporation's President and CEO. Thank you, Ryan, and congratulations on the new role, and good morning to everyone. We appreciate everyone joining us today for our fourth quarter earnings call. As we reflect on another successful year and celebrate the close of our twenty fifth anniversary, we are proud to once again deliver exceptional results for our customers, employees, and investors. Across Exelon Corporation, our companies bring more than eight hundred years of collective experience. Even with that long view, this moment stands out. The industry is changing at a speed and scale rarely seen. With that comes both great responsibility and opportunity.
Calvin G. Butler: I have never been more confident that Exelon Corporation has the people, the discipline, and the platform to continue to lead the energy transformation and meet this unprecedented demand. This is underscored by our recent results. As you saw from this morning's release, we delivered another strong year. For 2025, we reported adjusted operating earnings per share of $2.77, delivering above expectations. This continues our track record of exceeding the midpoint of guidance in each year as a standalone utility. Since 2021, we have achieved a 7.4% annual earnings growth rate and 8% rate base growth in 2025, highlighting our ability to navigate changes and consistently execute. This steady performance is a direct result of a continued focus on affordability and our ability to deliver investments that directly benefit our customers, providing above-average performance at below-average rates. It was also another exceptional year operationally. Exelon Corporation continues to set the standard for the industry. Our utilities maintained top quartile reliability metrics once again, and we are ranked one, two, four, and seven amongst our peers based on 2024 benchmarking data. This level of performance is nothing new. In fact, we have delivered top quartile reliability for over a decade. It is who we are and central to our mission. But do not get me wrong. Consistency does not come easy. It is the direct result of a culture of continuous improvement, innovation, and a steadfast focus on targeted investments that maximize value for our customers. These investments not only prevent outages and deliver best-in-class service, but they directly benefit local economies, with every $1 million invested creating eight jobs or $1.6 million of economic output. I am truly humbled by the commitment and sacrifice of our employees that make this level of service possible. Recently, their dedication was on full display during Winter Storm FERN. Despite record low temperatures, our investments withstood heavy snow and icing across our territories, maintaining strong reliability with only minimal disruptions. Fewer than 1% of our customers experienced outages, even as the extreme weather impacted our regions. This reflects the tremendous work of our employees over the past decade to invest in the safety, reliability, and resiliency of our system. The performance is remarkable when accounting for the scale of the storm, as well as the demand put on the grid. FERN resulted in the PJM RTO experiencing five days in a row of peak load ranging from 135 to 140 gigawatts, reaching 97% of the all-time winter peak. Our investments, combined with our employees’ around-the-clock dedication, kept nearly 11 million electric and gas customers safe and warm when they needed us most. I would like to express my gratitude to all of our employees who have supported storm restoration efforts locally and afar. Thank you for all that you do. Over the last quarter, we also made significant progress on the regulatory front. As Jeanne will detail shortly, it has been an active few months. We have achieved several key milestones, including final settlements for the Atlantic City Electric and Delmarva Gas rate cases, reconciliation orders at ComEd and BGE, and the filing of ComEd's second multiyear grid plan. This progress is built on a foundation of hard-earned trust. We work collaboratively with stakeholders and our communities to ensure that our investments align with the specific goals and needs of the states we serve. Looking ahead, we now expect to invest $41.3 billion of capital to support our customers, with more than 70% of the plan-over-plan increase driven by transmission, where we continue to have a unique opportunity and significant momentum. Our size and scale, multistate footprint, and operational expertise position our utilities to capitalize on the growing need for transmission investments in reliability and resiliency, accelerated by the pace of new business growth. This progress is further evidenced by our success in the recent PJM reliability window results, where $1.2 billion of incremental Exelon Corporation investment was recommended, including a jointly developed solution with NextEra. This comes on the heels of other recent large-scale transmission awards including Brandon Shores, Tri County, and the MISO Tranche 2.1 project. You should expect us to be active in future windows within PJM and other ISOs, leveraging our competitive advantages where appropriate. We continue to see robust demand in our jurisdictions, with anticipated load growth exceeding 3% through 2029. This is further reinforced by our large load pipeline, which is now further supported by an increasing number of signed transmission security agreements, or TSAs. Overall, our pure transmission and distribution capital plan is unique and truly differentiated. It is highly diversified across seven regulatory jurisdictions including FERC, with no one jurisdiction greater than 30% and no single project comprising more than 3% of the plan. It is also actionable. We have line of sight to each project that comprises the $41.3 billion, with a significant pipeline of incremental projects over the next five to ten years and the size and scale to execute efficiently. With continued returns on equity in the 9% to 10% range, we expect rate base growth of approximately 8% and annualized earnings growth of 5% to 7% through 2029, with the expectation of being near the top end of that range. We will continue to fund investments in a balanced and disciplined manner that maintains a strong balance sheet. For 2026, we are initiating operating earnings guidance of $2.81 to $2.91 per share. Our continued progress is clearly demonstrated by the scorecard on slide five, where we have once again met or exceeded every goal we set at the start of the year. At Exelon Corporation, commitments made are commitments meant.
Ryan Brown: That discipline and credibility
Calvin G. Butler: define who we are and shape how our teams operate every day. In addition to strong operational and financial performance, we continue to lead on customer affordability, which remains a top priority. We continuously drive cost out of the business through efficiency and innovation, maintaining a track record of cost growth well below inflation. In the past year, we executed a $60 million customer relief fund to support low- and moderate-income customers facing higher supply costs. We advanced innovative TSAs that prioritize large loads while ensuring existing customers remain protected. Our award-winning energy efficiency programs continue to deliver meaningful savings. We expanded connections of distributed resources, giving customers more ways to participate and save. We are steadfast in introducing innovative tools and processes to connect customers to low-income assistance. We continue to focus on actions like these that are directly within our control in addition to delivering safe, reliable energy while keeping bills as low as possible. In the meantime, we are also actively partnering with federal, RTO, and state leaders to address high supply prices and emerging reliability risk. The supply challenge is real, but not insurmountable. We are encouraged by the growing national focus, including the recent announcement from the White House and our state governors advancing policies to incent new generation and improve affordability. As we have said before, we firmly believe it is going to require an all-of-the-above strategy that includes utility-generated, demand-side, and merchant solutions. This was further supported by the study released last week by Charles River Associates. The report is an urgent call to action, highlighting the risk of the status quo and the cost and reliability benefits of utility-generated energy. Specifically, they note that utility-generated power could have saved total PJM customers $9.6 to $20 billion in the 2028–2029 delivery year, while reducing the risk of potential future outages from energy shortages by approximately 85%. We are committed to continue to work with all stakeholders to advance policies that strengthen energy security as quickly and cost effectively as possible. Finally, I want to take a moment to reiterate why our platform and approach are best positioned for the years to come. As highlighted on slide six, our foundation is based upon a customer focus and industry-leading operations. With our size and scale, constructive regulatory frameworks, and diversified footprint and capital plan, we have a disciplined and defensive foundation that is resilient. Yet at the same time, we are well positioned to capture credible, meaningful opportunities for sustainable growth. We are excited about where we are headed. Our platform is designed to deliver an attractive risk-adjusted return and long-term value for all stakeholders. I will now turn the call to Jeanne to dive deeper into our 2025 results and share more details on our updated long-term plan. Jeanne? Thank you, Calvin, and good morning, everyone.
Jeanne M. Jones: Today, I will cover our fourth quarter and full-year results, key regulatory developments, and updates to our financial disclosures, including 2026 guidance. Starting on slide seven, as Calvin noted, since becoming a standalone utility, we have continued to execute, and 2025 adds to that track record. In 2025, we delivered $2.73 per share on a GAAP basis and $2.77 per share on a non-GAAP basis for the full year, reflecting strong year-over-year growth. For the quarter, Exelon Corporation earned $0.58 on a GAAP basis
Jeanne M. Jones: and $0.59 on a non-GAAP basis.
Jeanne M. Jones: Full-year earnings
Jeanne M. Jones: above our guidance range primarily benefited from favorable weather and storm conditions and the resolution of certain regulatory proceedings. Throughout the year, we also managed costs well across the platform, ensuring we could accommodate a range of outcomes while monitoring regulatory activity and weather in the fourth quarter. Quarter-to-date and year-to-date drivers relative to prior year can be found on appendix slides 37 and 38. Turning to slide eight, we are initiating 2026 operating earnings guidance of $2.81 to $2.91 per share. With much of our growth aligned with completed rate cases and continued strong cost management, the 2026 implied midpoint relative to the midpoint of our 2025 estimated guidance range is ahead of previous disclosures, reflecting midpoint-to-midpoint growth above 6%. Our performance in 2025 underscores our ability to deliver strong financial results amid uncertainty, all while operating at industry-leading levels and innovating to find new and creative ways to support our customers. We have executed operational efficiencies, capitalized on our growth opportunities, and identified more ways than ever to support our customers. We look forward to furthering this progress in 2026.
Jeanne M. Jones: Looking ahead to the first quarter, we expect earnings
Jeanne M. Jones: to be approximately 31% of the midpoint of our projected full-year earnings guidance range, which is in line with historical averages. This accounts for completed regulatory filing, anticipated revenue shaping, and O&M timing, as well as normal weather and storm conditions throughout the quarter. Turning to slide nine. We executed another busy regulatory calendar in 2025, marking significant milestones and reaching final resolution on open reconciliation and key rate cases, providing cost recovery for the next several years. Starting with Atlantic City Electric, in November, the New Jersey Board of Public Utilities approved a settlement supporting the recovery of $54 million associated with grid improvements and modernization investments in line with New Jersey's energy master plan and the Clean Energy Act at a 9.6% ROE. New rates went into effect at the end of December 2025. Also, in December, the Delaware Public Service Commission issued a final order on the Delmarva Power Gas rate case, approving a settlement that supports the $21.5 million revenue requirement and 9.6% ROE, recovering various reliability investments and LNG plant upgrades, which protect customers from price volatility during peak periods. Rates went into effect at the beginning of this year. In addition to closing out base rate case activity, we also received final orders in our open reconciliations at BGE and ComEd in December, gaining clarity on the recovery of our investments from 2023 and 2024. While we were disappointed to receive about half of the BGE reconciliation, we realigned capital accordingly. Finally, moving to our core regulatory activity for 2026, the Pepco Maryland base rate case continues to progress according to the procedural schedule with intervenor testimony filed at the end of last month. A final order is expected in August. In December, Delmarva Power filed an electric base rate case in Delaware, requesting a net revenue increase of $44.6 million to support system reliability investments, storm remediation, and storm damage costs. DPL also requested to implement a bill stabilization adjustment, which will offer customers more predictability as seasonal temperatures grow increasingly volatile. DPL expects to be able to implement interim rates in effect on July 9. Finally, on January 16, ComEd filed its multiyear grid plan in Illinois requesting an approval of an investment plan covering 2028–2031 in support of the priorities laid out in the state's CEJA and CRGA bill. A final order is expected in December, and the company expects to file its next rate filing in 2027. On slide 10, we provide updated utility CapEx and rate base outlook through 2029. We plan to invest almost $10 billion in 2026 and a total of $41.3 billion over the next four years, an increase of $3.3 billion or 9% from the prior four-year planning period. Incremental investments reflect updates to align with recently approved rate cases and jurisdictional priorities and an increase in transmission investment. Of the overall increase, approximately 70%, or $2.3 billion, is attributable to incremental transmission investments driven by the structural trends that underpin the energy transformation in our jurisdiction: increased demand for high voltage investments and capacity expansion to support large load growth, evolving generation supply, and the reliability and resiliency needs of grid customers to withstand increasingly volatile weather.
Jeanne M. Jones: In fact, a majority of the additional transmission relates to continued
Jeanne M. Jones: system performance and capacity expansion across our platform, supporting incremental data center load in addition to the gradual replacement of an aging network. Our plan also includes an additional year of investment of our two largest transmission projects, Brandon Shores and Tri County, going into service in 2028 through 2030, along with the early spend of the MISO Tranche 2.1 project, which goes into service in 2034. Our annualized rate base growth of 7.9% over the next four years reflects an increase from the prior year plan, with a projected addition of nearly $23 billion in rate base from 2025 to 2029. Having executed within 2% of our capital plan since 2023, we are confident we will execute this next stage of growth, driving progress towards economic and energy goals and always prioritizing our customer needs in everything that we do. Moving to slide 11, our size and scale, award-winning reliability, and expertise in owning and operating 765 kV lines uniquely position us to capitalize on additional transmission opportunities that enable us to grow our transmission rate base CAGR by over 15% from 2025 through the end of the guidance period. Coupled with our strength in execution, we now have line of sight to an additional $12 billion to $17 billion transmission opportunities over the next decade that strengthen and lengthen our plan, of which over 60% includes projects associated with our existing infrastructure, supporting continued reliability, generator deactivations, and providing additional operational flexibility and efficiency. This upside also includes an estimated $1 billion of transmission-associated high-density load projects with signed TSAs, where we now have a foundation for additional certainty in our pipeline. Agreements are presented to customers coming out of our cluster study process. We also remain optimistic about the work associated with MISO Tranche 2.1, with over $1 billion of investment in our ComEd service territory, which is now getting a cost allocation filing at FERC. Beyond these opportunities, we anticipate additional investment required to support our state public policy goals, particularly as our jurisdictions assess energy security and economic development needs. For example, achieving CEJA's goals amid growing economic development in Illinois will likely require billions in transmission investments. Finally, as we discussed in prior quarters, success in winning competitively bid projects offers additional upside. From our success in winning the Tri County project to the $1.2 billion in Exelon Corporation investment PJM has recommended in this recent window, our size, scale, and expertise position us well to pursue competitive opportunities outside of our service territories within and outside of PJM. Our ability to deploy almost $10 billion of capital annually over the next four years is only possible with a rigorous focus on cost management and delivering value through those investments, supporting customer bills at rates 19% to 20% below national averages. This focus is saving our customers approximately $580 million in O&M annually relative to what it would have been growing at a standard inflation level over the last decade. We feel confident we can continue to keep our expense growth well below inflation levels, demonstrating nearly flat expense growth from 2024 to 2026 and targeting no more than 2.5% adjusted O&M growth through 2029. As we talked about last year, our institutionalized team and a One Exelon culture are committed to delivering value. We have taken advantage of our focused operations along with our size and scale to continue to standardize and streamline our structure and operations. Driving out $580 million in annual O&M savings is no small feat, but it is something our customers and shareholders have come to expect. Exelon Corporation's unique platforms and industry best practices enable us to build upon these savings with a line of sight to additional opportunities. As investment needs grow to meet unprecedented load growth and reliability needs, our customers remain our top priority. Since 2021, Exelon Corporation's portion of the average customer bill as a percent of median income has remained relatively flat, growing only 10 basis points while maintaining top quartile reliability, which saved customers $1 billion in avoided outage costs last year alone. We have reduced annual customer interruptions by nearly 2 million since 2021 and made significant economic impact in our communities. Since 2021, we have employed 20,000 people, sustained 50,000 jobs, and have fostered nearly $60 billion in economic activity in our communities. Bringing value to our customers is foundational to what we do, and it is why we invest in the grid. That is why we have committed to keeping our O&M costs relatively flat from 2024 to 2026 and, in partnership with our jurisdictions, committed to support our customers through nation-leading programs and advocacy efforts. Conversely, the supply side of the average monthly residential bill in the Mid-Atlantic has increased up to 80% or more over the last five years. Customers are now paying more for less. Since July 2024, PJM customers have paid more than $32 billion as supply in the market declined 1.2 gigawatts. That is why we continue to be at the forefront of advocating for our customers across federal, PJM, and state levels, ensuring that every dollar our customers spend can be tied to additional value they receive. We are pleased that federal discussions proposed the extension of the PJM capacity auction collar, saving customers tens of billions of dollars through 2030. But our advocacy efforts do not stop there. We are committed to advocating for other policies, such as queue and rate design reforms that protect customers and support economic development. Our first-of-its-kind transmission security agreements filed at FERC do just that, providing a clear path to interconnection while protecting existing customers. We believe all solutions are required to support energy security and drive affordability. This includes encouraging state-procured solutions such as utility-generated power, which can bring certainty that the supply will be there, offer our states control, and ultimately benefit our customers. Turning to slide 14, with prudent O&M spending and $41.3 billion of projected capital spend driving 7.9% rate base growth, along with earning ROEs of 9% to 10%, we are projecting compounded annual earnings growth near the top end of 5% to 7% from our 2025 guidance midpoint of $2.69 per share through 2029. We continue to build momentum across our jurisdictions as we make progress on Pepco and Delmarva rate cases, the ComEd grid plan, and as BGE prepares to file later this year. We look forward to working with our stakeholders to align on the investments that benefit our customers, enable us to maintain and improve upon our operational excellence, all at a fair return. Maintaining our commitment to transparency, we have provided assumptions associated with our expected annual growth in earnings through 2029 on appendix slide 23. As you can see, we expect to deliver the out years near the top end of the 5%–7% range, allowing for flexibility of rate case timing and keeping us on track to deliver near the top end of our 5% to 7% annualized growth rate from 2025 to 2029. We also continue to project an annual dividend growth at 5% and anticipate paying out a dividend of $1.68 per share in 2026 in line with that growth. Finally, turning to slide 15, I will conclude with a review of our balance sheet and financing activity, where we have continued to de-risk and secure cost-effective capital to invest for the benefit of our customers. In December, Exelon Corporation corporate issued $1 billion in convertible debt, pulling forward over half of our planned long-term corporate debt needs for 2026. Through 2029, we expect to fund the $41.3 billion capital plan with $22 billion of internally generated cash flow, $13 billion of debt at the utilities, and $3 billion of total debt at the holding company, with the balance funded with a modest amount of equity. As a reminder, our policy is to fund incremental capital needs approximately 40% with equity. Specifically, our total equity needs of $3.4 billion over the four-year plan implies approximately $850 million of annualized equity needs, less than 2% of Exelon Corporation's annual market cap. We have already made progress on 20% of these equity needs, having priced $700 million in 2025 using forward contracts under our ATM. Our financial plan has been designed to accommodate the issuance of other fixed-income securities that receive equity credit in place of senior debt at our holding company, identifying opportunities to mitigate risk and maintaining a strong balance sheet continues to be core to our strategy. Ending 2025, our average credit metrics of 13.5% exceeded our downgrade threshold of 12% at Moody’s by 150 basis points. With our balanced funding strategy in place, target credit metrics of 14% over the planning period provide 100 to 200 basis points of financial flexibility on average over our downgrade thresholds at S&P and Moody’s throughout our guidance period. We also continue to advocate for language that incorporates all tax repairs for calculating the corporate alternative minimum tax, which is now reflected in our disclosures. As a reminder, without the implementation of tax repairs deduction, our anticipated consolidated credit metric would average over the plan closer to 13%. Supported by our history of execution, I want to close by reiterating our confidence not only in the plan we have laid out, but also in the broader opportunity we have to deliver value for our customers and our shareholders for another twenty-five years and beyond. I will now turn it back to Calvin for his closing remarks.
Calvin G. Butler: Thank you, Jeanne. As we look ahead to 2026, our priorities are clear and aligned with what matters most to our customers, communities, policymakers, and investors. We have a track record of meeting our commitments, and we will continue to focus on what we do best: executing our capital plan efficiently and maintaining industry-leading operational performance to benefit our customers; driving affordability through disciplined cost management, prudent investment, and active stakeholder engagement; and pursuing growth and innovative customer solutions. We have the right people, platform, and strategy to continue delivering on these commitments. In 2026, we expect to deploy $10 billion in capital, earning a consolidated 9% to 10% operating ROE. We anticipate delivering operating earnings of $2 and 81 to $2.91 per share with the goal of being midpoint or better. Finally, we will execute a balanced funding strategy that maintains and strengthens our balance sheet. Serving approximately 11 million customers across some of the largest and most economically vital metropolitan areas in the country is a responsibility we do not take lightly. Our infrastructure is essential to the economic future of the regions we serve, and we honor that responsibility through disciplined execution, operational excellence, and a relentless focus on the people who depend on us every day. We are proud of our track record of execution. The sector continues to evolve at a breakneck pace, but Exelon Corporation remains steadfast in its priorities, consistently delivering as a proven leader. Gigi, we can now open it up for questions.
Operator: Thank you. If you would like to ask a question, simply press 1-1 on your telephone keypad. Our first question comes from the line of Nicholas Campanella from Barclays.
Calvin G. Butler: Good morning, Nick. Hey, Nick.
Nicholas Campanella: Hey. Good morning, everyone. Thanks for the updates. Appreciate it. Always. So great to see the five to seven outlook refreshed near the upper end here. I just maybe could you comment quickly on, you know, the rate base growth is near 8%. You do have financing lag against that, you know, which maybe would be greater than 1% financing lag between equity needs and debt funding. So just what is the tailwind to the plan to kind of keep you at the high end of the 5%–7% outlook?
Jeanne M. Jones: Yeah. I think I will start with, kind of, you know, what we have done, right, which is if you look back since 2021, we have had actual rate base growth of about 8% and earnings growth of 7.4%. So I think it is really just a continuation of that track record. If you look at where rate base is at the end of 2029 and you kind of assume, you know, half equity, and then you look at our earned ROEs over the last four years, I think you can get, you know, to an EPS number that then, to your point, you have to back off financing costs. But I think if you look at the equity needs, sort of assume an average, you know, debt cost. But then I think what you might be missing is the AFUDC associated with transmission capital. If you look at that and how much we are growing transmission over that period, that will get you to kind of the near top end, Nick.
Nicholas Campanella: Okay. Great. Great. And then I know that you probably are assuming a range of regulatory outcomes here, but maybe you can just kind of comment on, given so much focus on Pennsylvania, how you are thinking about regulatory strategy for 2026? Whether you would file in 2026 or wait until 2027, and then any kind of considerations there for the timing of rate cases and how that can kind of impact where you are within this five to seven? Thank you.
Calvin G. Butler: Yeah. No problem, Nick. I will tell you this: we are constantly in conversations with all of our stakeholders, and that goes from the governors to the regulatory bodies to talk about what makes sense for the jurisdictions and our customers. With affordability front and center in all of our jurisdictions, we lean into that first. But we also recognize that we have to maintain a reliable and resilient grid. So to your point, we are looking at what we are going to do in Pennsylvania, what we are going to do in Maryland. I think in our documents, we have already laid out that we are filing in Maryland this year, and we are considering what is the best approach to action in Pennsylvania. We will keep you updated on that, but right now, please keep in mind, everything centers on affordability and maintaining a reliable system.
Jeanne M. Jones: Yeah. And to your point, Nick, the disclosure kind of accommodated a variety of scenarios. So looking at a variety of scenarios around rate case timing, we felt confident in that. You know, the 8% rate base growth, the earned ROEs, and the, you know, sort of manageable amount of equity delivers that, you know, five to seven years at top end.
Nicholas Campanella: Great. And then just, you know, Calvin, if I could squeeze one more in, you talked about in your prepared remarks just supply being a real challenge and I know this RBA process is in its early innings at PJM, and we have all seen the comments from the IPPs and what they are looking for. But just maybe what are the T&Ds advocating for here, and how do you see that process shaping up? Do you expect it to still be on time for, you know, a September auction? If you could comment at all there.
Calvin G. Butler: Do you want to take
Jeanne M. Jones: Certainly. Good morning, Nick. Thank you for the question. We have really been focused on engaging not only at PJM, but
Jeanne M. Jones: with our regulators. We were really pleased to
Jeanne M. Jones: see the administration’s, to Calvin’s point, the administration’s focus on this issue. We do support the development of this reliability backstop option. We really endeavored also to bring a bit of clarity to the discourse. That is why we enlisted Charles River Associates’ support in helping us crystallize what we are dealing with. We need to focus on supply because we know it will lower customer electric costs. We know that we will also see improved reliability. To the point on costs, as Calvin mentioned, utility-generated power, which, you know, is something we are very focused on, but because if no one else is going to build, we know that supply costs are an ever-increasing portion of the customer bill. So we really have to be focused on driving more builds, and as this report
Jeanne M. Jones: report
Jeanne M. Jones: outlaid,
Jeanne M. Jones: utility-generated power could reduce PJM customer costs by between $9.6 billion and $20 billion in the 2028–2029 delivery year. So while we are focused on supporting the RBA, we also have to, in the near term, focus on extending the price cap, getting more supply on the grid, and, as Calvin mentioned, improving reliability.
Jeanne M. Jones: We know that those things will bring greater price stability
Jeanne M. Jones: and ultimately help address affordability, which is an ever-growing concern in each of our jurisdictions.
Nicholas Campanella: Thanks for the update.
Calvin G. Butler: Hey, Nick. I know she does not need an introduction, but that was Colette Honorable. Since you are
Nicholas Campanella: Alright.
Calvin G. Butler: Alright. Thank you very much.
Ryan Brown: You are welcome. Thank you.
Operator: Thank you. Our next question comes from the line of Shahriar Pourreza from Wells Fargo.
Calvin G. Butler: Good morning, Shah. Hey, Shah. Calvin. Morning, guys. Just on Colette’s
Shahriar Pourreza: maybe a quick question for Colette. I mean, obviously, you know, there is a lot of affordability things out there, whether you are looking at Maryland, New Jersey, Pennsylvania, Delaware. We saw that in, obviously, Shapiro’s budget speech. There are several bills out there in Pennsylvania, Maryland, and New Jersey around resource adequacy. I guess a little bit more specifically, how are the conversations going on the legislative fronts? Like, can you strike a middle ground in a state like Pennsylvania with the IPPs around the new generation PPA structure, which is currently being proposed under the House and Senate bills, or the conversations are just too wide apart right now? Thanks.
Calvin G. Butler: Hey, Shar. So this is Calvin. I will jump in first and just say, first and foremost, we understand where Governor Shapiro was coming from, because we are all frustrated with the affordability limit that is hitting all of our customers and his constituents. So at the forefront, we start from a foundation of alignment, that we all have to do something together. You notice our approach is always an all-of-the-above approach. How can we help deliver solutions that satisfy everyone? So to your direct question, is there an opportunity to have conversations and engage with IPPs? Absolutely, because we have never said we are going to do this on our own. But we do believe it must involve everyone. I think you talked about Governor Shapiro, but Governor Moore in his State of the State even talked about an all-of-the-above. It requires everyone to come together to solve this problem. We are committed to that. So when you talk about the House and Senate bills, it is always in the details. But please know that we are showing up every day in the capital and with the governor and the PSC to talk about delivering solutions. You notice from us, it is not one-and-done. It is everyone coming through, and it is an all-of-the-above approach. Colette, anything you would like to add there?
Jeanne M. Jones: Thank you, Calvin. Good morning, Shar. I would add, it will, I hope, put in better context
Jeanne M. Jones: why we showed up as a company the way we did around colocation issues. Colocation can be a great solution. We knew when we saw this headed our way that we needed to focus on affordability. Now you see others jumping in with us. It is great to see, and we need these discussions because this is how we will solve the problem. We have been very active, to your question, Shar, not only in Pennsylvania, on the ground there, on the ground with the governor. If you know, we joined Governor Shapiro in the filing at FERC
Jeanne M. Jones: on extending the
Jeanne M. Jones: podcast. We will continue to partner with him, his administration, and engage heavily in the legislature. Not only in Pennsylvania, we are having the same discussions
Jeanne M. Jones: in Maryland, in Delaware, in New Jersey.
Ryan Brown: And I think that, for instance, in the
Jeanne M. Jones: the address by Governor Moore, you could see very clearly he has a view on what needs to happen.
Jeanne M. Jones: Take a look at New Jersey with Governor Sheryl stepping in and really focusing on the solutions that need to come about in PJM. This is heartening to see, and you will continue to find us engaging in each of our jurisdictions to help solve this issue of affordability. Let me close by saying we are bringing solutions. We have been focused, if you know, on our customer relief fund that we developed last year, and then we further supplemented ahead of the winter season in anticipation of these issues. We will continue focusing on low-income discounts in our jurisdictions. We have those well underway, as well as focusing on longer-term solutions such as utility generation. So we are very active in our jurisdictions, and we will continue to be active. Thank you.
Shahriar Pourreza: And is it fair to just assume that there is some level of collaboration with the generators, or is that bid-ask too wide apart? I am just trying to tease that out. Is that the right price?
Jeanne M. Jones: Right? I think we are always going to be our customers’ advocate. So I think right now, what is the problem right now is our customers are paying more for less. So we have to get to the right place where there is actual new generation at the right price. If they want to build it at the right price, wonderful, right? But at the end of the day, to Colette and Calvin’s comments, the Charles River report was really helpful because it said, you know, if we had been doing this and we had the generation needed in 2028 and 2029, that costs would have been, you know, $10 to $20 billion lower. We cannot go back in time and build that generation, but we can take action now. That is what we are focused on, getting the generation built at the right price.
Shahriar Pourreza: Got it. And then just last question here. Just to tease out Nick’s question around the CAGR. There is not a lot of delta between rate base growth and the EPS growth, so that sort of makes sense where you are. But I know, Jeanne, clearly from the slide this morning, there is plenty of incremental upside, whether you are looking at, you know, PJM RTEP, or MISO tranches, data center TSAs, resource adequacy. I guess, what is the correct podium to step-function change the trajectory, which has been out there for some time? Is it as simple as we need a few more quarters to execute? I guess, how do we sort of think about the upsides that are evident on these slide decks, whether, and will it be incremental to rate base growth? Will it be incremental to EPS growth? I guess, what do you need to see that step-function change to that five to seven? Thanks.
Jeanne M. Jones: Yeah. No. Good question. I think, at the end, we feel like it is kind of progressing, right? So your last rate base CAGR was 7.4%. You are sitting at 7.9% now off of that 7.4%. You know, we delivered above expectations through 2025. So I think we are seeing continued progress there. I think, given the deconcentrated plan, in addition to progress, it is really executable. We, as I mentioned in my prepared remarks, have delivered within our capital within 2% since separation. You look at our rate base this year within 1%. That is no small task on $64 billion of rate base. So we feel not only is it really executable, you should feel confident in that growth, but it is continuing to ramp. We are not going to be the flashy, right? It is not going to go up double digits, but it is going up, and it is highly executable, defensible, and we are not going to give you a number that I cannot sit here and say that. So I think that is how we should think about it.
Shahriar Pourreza: Okay. Yeah. That is actually a perfect answer. Thanks, guys. Appreciate it. Congrats, Calvin. Bye.
Calvin G. Butler: Thank you, Shar. Appreciate you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Paul Andrew Zimbardo from Jefferies.
Calvin G. Butler: Good morning, Paul. I
Paul Andrew Zimbardo: Good morning, team.
Calvin G. Butler: Kudos. Nicely done.
Paul Andrew Zimbardo: Thank you. To
Paul Andrew Zimbardo: to continue the theme a little bit from Nick and Shar, just
Paul Andrew Zimbardo: almost asking an inverse. It seems like rate base growth is pretty consistent with historical, the 7.9%, and you did grow at 7.4% despite some headwinds in Illinois and elsewhere and, of course, tailwinds too.
Paul Andrew Zimbardo: What
Paul Andrew Zimbardo: why could you not grow at that kind of ZIP code, the same seven-and-a-half percent growth rate? Again, doing even better than the top then. Like, is it kind of the conservatism, like you are mentioning, or just getting more comfort? If you could elaborate a little bit more.
Jeanne M. Jones: Sure. I mean, I think we are always going to strive to exceed expectations. But I think, again, giving you a number you can count on, I think, you know, financing costs are increasing, right? So you have to account for that. But, you know, we are investing more in transmission, and so that gives us confidence in the, you know, that we can continue with the strong earned ROEs that we have had. So I think
Jeanne M. Jones: you know, I think it is
Jeanne M. Jones: it is
Paul Andrew Zimbardo: defensible
Jeanne M. Jones: is growing. I think, you know, but you have to think about giving a number that is defensible that we can manage, but also accounts for the associated financing costs. But we are always going to strive to exceed your expectations, Paul.
Calvin G. Butler: No. And you have been. So
Paul Andrew Zimbardo: if you give a mouse a cookie, you always have to ask for more.
Calvin G. Butler: I noticed that, Paul. Thank you.
Paul Andrew Zimbardo: The last one I want to ask just on the incremental financing cost. So you definitely made a lot of progress on the balance sheet. How should we think about financing incremental capital opportunities as they come? Should we be using kind of that 40% in this roll forward or maybe a lower number?
Jeanne M. Jones: No. It is the 40%. We want to maintain and, you know, keep that cushion we have worked so hard to get on the balance sheet. So what that results in is about the $3.4 billion over the four-year period. On an annual basis, it is less than 2% of market cap, manageable. As you probably saw, we have already made good progress on that. We priced $700 million of that $3.4 billion. So on an annual basis for 2026, you know, it is a small amount to do. Given our ATM and our trading activities, it is very manageable. But we are going to stick with that 40%.
Calvin G. Butler: Okay. Thank you very much, team. Mhmm. You, Paul.
Operator: Thank you. One moment for our next question. Our next question will be from the line of Steve Fleishman from Wolfe. Good morning, Steve.
Ryan Brown: Hey. Good morning. So just maybe on the, with the move to more transmission continuing, that 9% to 10% earned ROE range
Steve Fleishman: are we seeing some kind of
Calvin G. Butler: movement up within that range? Helps kind of put all these pieces together? On the growth rate.
Jeanne M. Jones: Yeah. I think, you know, it is a guess.
Jeanne M. Jones: Yeah. Yeah. If we go back to, I think, since separation, 2022 to 2025, our average earned has been somewhere around 9.4%. To your point, as we have been turning the shift towards transmission, I think you can expect that, if not slightly better, but it is going to take some time for some of these, you know, transmission projects to close. You have some longer-dated ones, the big ones. But we are, that is the direction we are headed.
Steve Fleishman: Okay.
Ryan Brown: Okay. And then on the CAMT that you mentioned, just when do you expect to actually have that, like, full clarity on that? Sometime, this sounds like sometime this year?
Jeanne M. Jones: Yes. Yeah. We are hopeful that we have final, final resolution here in the near term.
Steve Fleishman: Okay.
Calvin G. Butler: And then lastly, just tying up some loose state stuff that
Steve Fleishman: are we going to get a Maryland lessons learned
Ryan Brown: at some point?
Calvin G. Butler: Or
Steve Fleishman: yeah. Is there any chance they just say kind of we are moved on to
Calvin G. Butler: No. We are
Steve Fleishman: I do not know. Patience.
Calvin G. Butler: Yeah. Yeah. Steve, I hear in your voice my frustration, so thank you. It is, we do believe we are going to get a lessons learned. I know the team has been talking to the commission and the new chair. We have worked with him as a former state senator. He understands the need for this. We do believe we will get a lessons learned, and I wish I could give you a timeline, but we do believe it will happen in 2026.
Steve Fleishman: Okay.
Ryan Brown: But you will file BGE
Steve Fleishman: you know, probably before you get it?
Calvin G. Butler: Yes. Yes. Yeah.
Jeanne M. Jones: We are going to file in probably the first half and, you know, would love to accommodate whatever is in there. But to Calvin’s point, we have been, you know, transparent with the commission around the fact that the rates expire in 2027, and so we have to do something here.
Ryan Brown: And then a last quick one. I know New Jersey is not your, of your larger states, but just
Steve Fleishman: curious your take so far under the new governor.
Calvin G. Butler: Absolutely. Not, to your point, not one of our largest, but it is very important. Tyler Anthony, the CEO of Pepco Holdings, has spent time with the other EDCs with Governor Schirle. Michael A. Innocenzo, our Chief Operating Officer, has spent time, and I will let Mike elaborate further on New Jersey if you would like to, Mike.
Michael A. Innocenzo: I would just say, you know, it certainly got a lot of headlines during the election campaign. But if you look at the content of the executive orders, we think that they are very constructive. They are things that we can live with. I would say behind the scenes, the conversations are focused on the right areas, which is, you know, if we are really going to go after affordability, we need to bring more supply in an affordable way and an efficient way. We fully support those discussions.
Calvin G. Butler: Great. Thank you. Thank you, Steve.
Operator: Thank you. Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.